Operator: Good day and welcome to the SES Investor and Analyst for SES Full Year 2017 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Richard Whiteing, Vice President, Head of Investor Relations. Please go ahead, sir.
Richard Whiteing: Hello, everyone, and good morning and thank you for joining the full year and fourth quarter 2017 results presentation. You should by now have received the presentation documents. This can be found at the ses.com Investors Section on the website if you do not already have it. As usual, I would kindly ask you to take note of the disclaimer at the back. On Slide 2, we outlined the agenda for this morning’s presentation. In a moment, I will hand over to our Chairman, Romain Bausch, to make a short statement who will then the handover to management to present the full year and fourth quarter result starting with our President and CEO, Karim Michel Sabbagh. At the end of the presentation of course, we will be able to take questions for which we are joined by Andrew Browne, our CFO-Designate, and we will be happy to take any questions if you have at the end of the presentation. With that, I will hand over to the Chairman. Please go ahead, sir.
Romain Bausch: Thanks, Richard, good morning everyone. As Chairman of the Board, I want to share with you information on two reasons the both related to development. First, and you will have seen our announcement of 12th of February of the management condition and I wanted to make sure that some remarks in case we see what Galaxy's changes. First, the Board has accepted the decision of our CEO, Karim Michel Sabbagh; and of our CFO, Padraig McCarthy, to lead their roles on the execute committee. And as announced earlier, Karim has decided to lead a new technology venture and Padraig will retire during the course of the year. I want here to reiterate my thanks to Karim and to Padraid for their strong contributions to SES. Both remain in the position up here the Annual General Meeting in April, it's been understood that Padraig will remain at the disposals of the Company during 2018. Today, they will both report on the group results for 2017. As to questions on the timing of the announcement just a few days ago, I want to say that once decision have been made price sensitive information are to be announced with delay, that’s what the board did. Second, we’re pleased that Steve Collar is stepping up from running our Network's business to become the new President and CEO. As said, Andrew Browne has come back to resume the CFO role. Steve and Andrew were appointed after full consideration by the board and the nomination committee enabling us to put in place an effective transition. And as I have worked many years with both of them together, so I fully share the confidence of my colleagues on the goal that we'll continue to have a strong leadership team at SES. The bulkiest task them to complete the transformation of our businesses and to deliver on the strong gross potential of the Company, and we have every confidence in their ability to do this. Finally, the board has taken the decision to rebase the dividend for 2017 and we did place in yesterday’s board meeting and announced it this morning as part of the press release. We’re recommending to the shareholders at the Annual General meeting on April 6th that dividend for 2017 should be €0.8, a reduction of 40% from 2016. This rebasing to a lower level is appropriate for SES and it will allow us to strengthen our balance sheet while supporting growth opportunities and enabling a progressive dividend in the future. We’re deeply aware that it has been a difficult period for our share price while it is a challenging time for our industry. The best way to rebuild our share price is to deliver on the execution of our strategy, to improve performance and to maintain clear communications with the capital market. The board and the executive committee are united in this aim as you will see us make good progress in 2018. And as Richard said, I will now leave it to management to present the 2017 results.
Karim Michel Sabbagh: Thank you, Romain. Good morning, ladies and gentlemen. Welcome to our results call for the fourth quarter and full year 2017. As noted on Slide 4, the year has been an important one for SES as we continue to transform the business for the new operating environment and to position it for growth, building on the opportunity for our unique combination of Geostationary and Middle Earth Orbit architecture. This transformation has been focused around the integration of our 2016 acquisitions and the establishment of two new market-centric business units, video and networks with an entirely new operating model. Now, let me be very clear, the business performance was not what we aimed for in 2017. This was partly due to the impact of the transformation and we're additionally held back by satellites having problems, which impacted short term results. Also bear in mind that we're operating in challenging market conditions, we understand the underlying factors and the context and these are being addressed in 2018. On a more positive note, we successfully launched five new satellites since January 2017 which bring additional capacity and capability and underpin our future growth. Turning now to Slide 5, I would like to remind you of the extent of the transformation that SES is going through as we seek to build scale, differentiate the capabilities, and we make our business future proof. Both video and networks are in sectors that are undergoing fundamental changes. By repositioning our business models through a number of important actions, we have refocused our market engagement under right customer segments to enable SES to sustain its video business while capturing growth in networks. This new operating model is shown on Slide 6, which you can see and the key characteristic of each of the natural business units that were set up in May 2017. These are now largely in place from an organizational perspective while there are still some work to fully set up the teams and the services that we're now providing to our customers. In parallel, we're now launching a new Fit-for-Growth program that will ensure that costs are optimized per business area while providing the necessary support for our market engagement in the future. On Slide 7, you see again role of satellite launches in underpinning our competitiveness and growth. As we transform the business to focus on high growth customer segments and networks and to strengthen the resilience of the core video market, we are continuing to invest in the right technologies to give us the right capacity at the right cost and to achieve the sustainable competitive advantage. Leveraging our scale and knowledge, we've been able to launch an unprecedented number of satellites with specific capabilities for the markets that they're intended to serve. Steve and Ferd will illustrate this point later in our briefing. For now, it's important to know that this launch program continues in 2018 with two satellites launched already and another five planned. The rate of technological progress means that the volume of data that can be transferred, the speed at which it can be transferred and the reliability environment reduced cost ensures that our offering is attractive and opens up new markets and we strengthens the relevance of satellite for our customers businesses. Turning now to Slide 8 on the financial results for 2017, we see that revenues were rollover down by 5.2% on a like-for-like basis, reflecting some one of issues, lower periodic revenues, and the underlying market conditions. As we continue to transform our network business, there has been a slow ramp up in revenues that can originally -- than anticipated at the start of the year, as we established the new organization, the new service offerings and as we recruit the staff to deliver the anticipated role and as we negotiate close and implement new contracts. The EBITDA margin also fell to 65.1% as a result of the lower revenues and ongoing investments in building our business capabilities for the future. Despite the strong cash flow, leverage remained close to our threshold of 3.3 times at 3.27 times as a result of the ongoing investments. Use of this as of leverage and the ongoing impact of the business transformation on the economics of the business, the board has decided that we should see to strengthen the balance sheet and support committed investment. Accordingly, it has recommended that the rebasing of the dividend to a more appropriate level as refer to by our Chairman earlier on our call. Turning now to the 2017 results in more detail, on Slide 9, we would like to introduce to you some improved disclosure which will make it easier for you to understand the economics of our new business model. From now on, old revenues will be reported on a constant FX basis and then divided into underlying and periodic. The periodic data includes all unusual or non-recurring revenues that would otherwise distort the underlying trend. We have provided a three year history by quarter for each vertical in the press release to help you in realizing our results and future outlook. We have also divided the results of video between distribution and services. As my colleague take you through the revenue development in more detail, you will see that the resilience of the underlying video business which is down only by 2.4% for the year as a whole. Network is down 2.6% for the year, but only 0.8% in the fourth quarter and starts to gain traction with these new customers. SES has now picked up the pace as it builds its new business and I’m very pleased to note that video starts the year with 85% of its expected 2018 revenue already committed and network has over 75% committed having seen strong growth in the annualized value of new contract signed in the last quarter. On that note, I will now hand over to CEOs of the Business Unit to will take you through their respective performance in 2017 starting with Ferdinand Kayser of SES Video.
Ferdinand Kayser: Thank you, Karim, and turning to Slide 11. For SES Video, the full year revenue decreased by 3.6% to 1,383 billion. This included 351.5 million in Q4 revenue which was 3% lower than the Q4 2016 on the like-for-like basis. While video markets remain competitive as the SES also being affected by the loss of AMC-9 and the repositioning of MX1 after certain legacy contracts were not renewed. Notwithstanding these factors, satellite remains an essential distribution platform for delivering quality video content to hundreds of millions of households. This is demonstrated by the 2% growth in number of TV channels carried over the SES fleet, which I will come to shortly. This is also demonstrated by the substantial backlog of 5.3 billion as our customers continue to make long-term commitments to SES. As mentioned already by Karim, more than 85% of our 2018 revenue target for SES Video is already contractually secured. Regarding on our commercial activity on Slide 12, the objective of SES Video is to be the partner of choice for the delivery of high quality video anywhere, anytime and on any screen. On this slide, I have selected some important commercial wins of 2017. This demonstrates the strength and attractiveness of our neighborhoods and the respective technical reach. This is an impressive list of blue-chip customers making long-term commitment SES Video, Sky renewing seven transponders in German for the long-term where we have seen QVC, commit for additional capacity for UHD channels for 10 years. In developing market, we have new multiyear agreement with Viasat in the Ukraine and with Globecast in Romania to continue to support Orange Romania. Globecast also moves some additional business to SES Video in U.S. to transform those for cable distribution. In the services business, MX1 won an important contract from VUBIQUITY, the major content broker. This is satellite distribution and IP distribution. Therefore, VUBIQUITY today, MX1 is aggregating 580 TV channels and converting content into 800 different formats in order to deliver 1,400 linear feeds as well as 50 channels by OTT. We also make further progress in growing the number of commercial ultra HD channels from 21 to 28. Going forward, we have chosen to show the business performance between two main categories video distribution and video services. On Slide 13 starting first with video distribution, which represents 75% of the total revenue of SES Video, this refers to revenue generated from broadcasters and content owners using satellite capacity to distribute their video contents to viewers by direct-to-home, direct-to-cable all to IP TV platforms. On this slide, you can see the impact of our foreign exchange and periodic items on the full year and Q4, 2017. In Q4, 2017, underlying revenue was 3.6% lower including the satellite health issues. Across the business, Europe was stable in Q4, having been down overall in 2017 as we sold additional capacity for HD and Ultra HD and this offset a slight decline in pricing per transponder. North America saw a small decline due to some volume reductions and lower revenue from sales from occasional uses. In the international markets, the pace of revenue development was affected by the lower available capacity after having loss of AMC-9. There are encouraging levels of interest for the incremental capacity on AMC-9 in Asia and in Latin America. Our objective in 2018 is to accelerate the number of channels from these space assets. As mentioned on Slide 14, at the end of December, the SES fleet carried a total of 7,709 TV channels which represented an increase of 2% for 171 additional channels. In Europe, total channels were flat but importantly standard definition channels were replaced by new HD and ultra HD channels, which required more ventures. In North America, the switch of HD channels resulted in an overall reduction of those somewhere replaced by HD channels. We also see an attractive potential for UHD in this month. Across the international markets, total TV channels grew by 8% to 2,962 channels as new channels notably in Africa and Middle East were launched using previously contracted capacity. The proportion MPEG4 channels continue to increase with 65% of all TV channels now being in MPEG4. We’re going through the usual process of collection our latest technical numbers for 2017 and this will be published with the Annual Report in April. I am confident that the new figure will show again continue improvement compared with last year's number of 375 million households worldwide. On Slide 15 turning now to video services which represent 25% of SES Video and includes the revenue from MX1 business and the HD Plus platform in Germany. For Q4 2017, revenue was 4.4 million lower than Q4 2016. The underlying revenue was down by 2.4 million or 2.6%. This included a year-on-year reduction of 7 million related to MX1, as was mentioned at the Q3 results this is related to the non renewal of certain low margin legacy contracts. Since then, MX1 has continued to sign new contracts which supported sequential growth in the underlying run rates of revenue. These new contracts such as with eoTV or FuboTV provide integrated services from data preparation to content distribution by about linear and non-linear channels. Our HD Plus platform in Germany showed good growth as the annual subscription fee was increased from €60 to €70 for excess to the 23 private HD channels. This call offering is now complimented by the addition of the premium Eurosport package. Compared with last year, the number of paid subscriber to HD Plus was stable at 2.1 million. Our customers continue to make long-term commitments and benefit from our unique combination of prime neighborhoods which give excess to a substantial number of viewers and ancillary technical services. This underpins the resilience and profitability of the revenue and cash flows from the video business and demonstrated the substantial contract backlog as shown on Slide 16. The chart shows the main drivers of the change in backlog since the end of December 2016 as the SES Video was very busy during 2017 and the time contract for renewals and new business with a total contract value of 1.1 million. As a result, the contract backlogs to that 5.3 billion at the end of 2017. This represents nearly four times the annual revenue that means that over 85% of the revenue forecast for the SES Video in '18 is already secured. Clearly, we need to focus now on the other 15%. To conclude, video continues to be an absolutely resilient and cash generating business, offering attractive returns, giving us high visibility as the average contract duration is around 10 years. And with that, I'll hand over to Steve.
Steve Collar: Thanks, Ferd, morning everyone. I’m going to talk through the main developments and achievements in SES Networks for 2017 and just kind of remind everyone we’ve been sort of fully in the SES Networks mode since May, and we've spent our good part of the year driving some pretty substantial transformation within the business. We brought together all of our latest centric businesses into one to market-facing organization, and we’re now delivering end-to-end managed solution across three verticals on a global basis. So, it’s really been a year of change, but also a year of delivery. So full year revenue was 3% up on a reported basis and 1.9% to €646 million on a like-for-like basis and revenues of €156 million in Q4 was then almost 30% versus Q4 2016, but that’s largely driven by significant periodic revenue from the sale of transponders to Global Eagle in 2016. On an underlying basis, SES Networks was largely flat year-on-year but also of note, we grew 7.5% from Q3 to Q4, and encouragingly was the fact that we achieved strongest quarter sales to date in Q4 more than doubling our annualized sales volume of Q2 and providing really strong momentum going into 2018. So with that in mind, I’m going to talk a little bit to the customer that we’ve signed and the business that we’ve done during the course of 2017 and sort of bring to life a little bit what we’re doing within the Networks business. And so first up on Tuesday, we announced partnership with ETECSA. ETECSA is the national PTT in Cuba and is providing voice and internet services across the island. Cuba is a super interesting place. It’s almost a 100% literacy and incredibly strong education system, but suffered pretty meaningfully from the lack of connectivity, but it is high to the rest of the world for relatively extended period of time. So we’ve been working with ETECSA for a while, really framed around enhancing their existing infrastructure and delivering sort of an improved teleservices into Cuba, architected on our high-performance, low-latency, resilient and multi-gigabit capacity. And we commissioned a turnkey service for them so that we design, develop, deploy and are now in service with that sort of the state-of-the-art MEO capability into the island, and we’re delivering to them IP transit services and advanced EPL services and we’ll be doing so for many years to come. Our relationship also gives us the ability to stack with ETECSA to provide them value-added services based on the fact that we now have very much direct relationship with them. So we’re super excited about that and that there is a number of others that might could have to where we’re delivering core connectivity solutions across many, many geographies, including Kinshasa and Lubumbashi in DRC with Gilat Satcom. We're now delivering more than 3 gigabits worth of capacity to them, including in support of Orange. More than a gigabit we recently signed and implemented for one of Africa’s largest MNOs. We’re working as you may have seen in the press, with Our Telekom in Solomon Islands, and Timor Telecom and Palau Telecom, all of whom are roaming and protected 4G services using our network for the first time and we’ve also brought online relatively recently a number of sites in Peru. So good strong progress I would say on the Fixed Data side, particularly referencing our MEO fleet. But it's certainly not limited to MEO. In Malaysia, we’re supporting CompuDyne and enabling mobile operated digital extended cellular network into the far reaches of Malaysia and we’ve signed and implemented general project in Mexico and Taiwan using the power reach of our digital. We were now to mobility, in January we bought SES-15 into service and at the same time we secured a major upgrade to our service with Global Eagle which will be taking up significant capacity. And I’m really pleased the SES-15 is nice and operational and on station is delivering service is become already the primary satellite for the aeronauts for the service providers over North America and in addition to Global Eagle it's home to Panasonic and to GoGo and you may well have seen the announcement that they’ve already transferred more than 200 aircraft across onto SES-15 to massively happy to see the progress there. In Maritime, we announced the partnership with Carnival Corporation last quarter to develop MedallionNet and we launched that service with them in November about the Regal Princes. We’ve got two ships signed to MedallionNet so far and we expect to expand that relationship and there will be more news coming on the MedallionNet next week, but we’ve also recently announced a deal with Genting's World Dream and it really sort of underscores our number one position in the cruise sector. I think we’re delivering more capacity to more of the largest cruise ships than any other operator and we certainly see that trend continuing. And then last but not least in governments, in our government there for we’ve really seen a pleasing rebound in our government business both in the U.S. and on a global basis. So, the U.S. government is now committed to more than 5 gigabytes of managed O3b services across 18 government sites and we’re supporting a range of capabilities and applications for them like sort of -file transfer and reach pack-capabilities that aren't available from any other operator and with any other capability and technology. And we’re doing similarly with the U.S. supporting their peace-keeping operations across Africa and making a real difference to response for the UN having some of the hardest places in the world to reach. So, these reflects the progress in saving field that we’re making across the business and the impact that we haven’t in the market and sort of the differentiated value propositions and the kind of solutions that we can bring. So, with that, I’m going to go relatively briefly through the results reach of the three verticals, if we focused on fix data you’ll see that we have a decline, a moderate decline in 2017 of 6% of the full year, but about half of that was cause by the loss of AMC-9 which certainly impacted our fix data business in North America in particular. Market conditions due continue to be challenging in fix data, but I do think, I think those challenges will continue but in the phase of those residing these really large significant and sort of deals that rely on the fact that we’ve invested in the infrastructure there is highly differentiated and we’re delivering services that I think are different from those developers can provide. And we do have strong momentum going into 2018 and I anticipate growth in our fix data vertical in 2018. So moving on to page 21, underlying revenue in mobility grew by 5 million or 4.4% and that was driven largely by new business in aeronautical and maritime. We actually comparison to 2016 was influence by this high sort of periodic revenue in 2016 which meant that we were flat overall including that. Similarly Q4 was influenced by that sale of transponders to Global Eagle that happened in the fourth quarter 2016 and just to remind you all the second tranche of that was recognized in Q1, 2017. So we’ll have a similar kind of comparator when we talk to our Q1 results. With that said and again with the substantial upgrade that we’ve seen with Global Eagle and the transition of services of GoGo and so the robust field factors that we have on SES-15 really strong contribution anticipating there for 2018 and again very optimistic about our mobility business for the year. And then as I mentioned on Slide 22, our government business returned to growth on a full year and on a quarter basis which was massively pleasing. Our government solutions team in the U.S. secured some really important wins and the take up in particularly of the DoD on our MEO fleet really sort of speeds well for the future prospects, and that combined with the business that we are doing in Global Government with the UN we also signed NATO with 8 NATO AGS program within our local government vertical which is our most recent vertical that we stood up and we see some good traction happening as well. A couple of words on Slide 23 and around sort of the transformation that's been going on in SES Networks, so look out ability to deliver integrated turnkey managed solutions has existed for a long time within SES, but in different parts including our SES GS business, TechCom, O3b and within kind of the core of SES itself, and we have brought all of those capabilities together in a very short space of time to form SES Networks and we've organized ourselves around verticals that I just talked about some of the sub verticals within them, and we are driving into those verticals by working very-very closely with our customers. We've also put in place a common product case which is designed and defined and rolled back a number of comments as I talked earlier on about IP transit and E-sat private line, we have diversity in fiber solutions which we are now able to roll that across all verticals and we are delivering kind of SD-WAN solutions, software defined networks where are adapting our network across our MEO and GEO fleets, they delivery more value in housing resilience and delivering better performance to our customers and that's really starting to pay dividends. I would say, we are seeing that reflected in some of these deals, the enhancements and the traction that we have, and a really good example of our uniqueness is in November we announced SES Networks became the only satellite enabled service provider to achieve MEF certifications, so this is the metro Ethernet forum, basically it means we look like a carrier, we look like a telecom, with our services have been stamped by a body that effectively everybody in the industry is familiar with and it gives us a huge ability to drive in sort of the telco space and the MNO space, and the conversations are reduced very-very quickly when you say we are MEF certified. And amongst all of this confirmation and all of this work we also placed an order for the most transformative satellite enabled network ever in the form of O3b mPOWER, I couldn't be more excited about it and we announced it in September and we are well underway with the production and I strongly believe that it will revolutionize our business our industry and but it also has the benefit of riding on the sort of the simplicity and elegance that we have delivered with O3b and the MEO offerings that we have. So, just to conclude from a network standpoint, you can see that we have increased our backlog by over €4 billion in the year when adjusted for FX, and really thinking by that, as you know our contacting networks are typically shorter, so I think that's a sign of real programs and we also entered 2018 with more than 75% of our expected revenue for the year already secured, again that's higher than this is typical I would say it's the higher than last year and reflects the momentum that we see from Q4 sales going into 2018. So with that, I will hand over to Padraig for the financial results.
Padraig McCarthy: Yes, thank you Steve and good morning everyone. So, starting on Slide 26 where we have the financial highlights. Reported revenue for 12 months was 1.6% lower and 5.2% lower on a like-for-like basis, at €1.32 billion group EBITDA was 8.8% lower on a reported basis and 7.6% down like-for-like with the EBITDA margin at 65.1%. Operating profit of 611 million included the second quarter AMC-9 impairment charge of 38 million giving a reported operating profit margin of 30%, excluding this one-off item the operating profit margin was 31.9%. Profit of the group was 596.1 million compared to 963 in 2016 which including a one-off accounting gain of 495 million from the consolidation of O3b. The 2017 profit also benefited from non-recurring tax credits and I will come back to that in detail later on. While the net operating cash flow was slightly down versus prior year lower CapEx led to 16.2% increase in free cash flow before financing and acquisitions. Net debt to EBITDA remains within the financial framework at 3.27 times and finally the combination of strong backlogs in Video and Networks as outlined by Fred and Steve meant that the total contract backlog remains strong at €7.5 billion. If we move to Slide 27 on revenue and as Steve and Karim have outlined in a lot of detain the performance in the individual MBUs. Of the overall like-for-like revenue decrease the two MBUs represented approximately 60% of the reduction with the balance to lower other revenue in 2017. As already covered this year's underlying revenue was affected by satellite health in both video and networks and the impact of non-renewal of legacy MX1 services and video. Total video revenues were 3.6% lower like-for-like with two thirds of the change due to lower underlying revenue and so we had MX1 and one third due to lower periodic revenue. Network like-for-like revenue was down 1.9% and this was mainly due to the loss of the AMC-9. The periodic revenues included approximately 20 million revenue from Global Eagle transponder sale in quarter one 2017, and as Steve has mentioned, this item was there to reflect year-over-year comparison of the quarter one 2018 number. The 2018 video comparison would also be impacted by the implementation of changes related to the adoption of the new IFRS 15 accounting standards on revenue recognition. Going forward, this will require the straight lining of the initial HD Plus activation fee which previously had a higher upfront revenue recognition being matched with subscriber acquisition costs. As there's no restatement of the 2017 accounts, this is expected to reduce the HD Plus revenue by 15 to 20 million in 2018 although there is no cash impact. Lower order revenue contributed the remaining variance in 2017 compared to '16, having been exceptionally high during 2014 to 2016 this line returned to a normalized level in 2017. Turning to the next slide and EBITDA which is 7.6% lower like-for-like, essentially this is due to lower revenues, group operating expenses were slightly down versus last year. There was a -- this was driven by a reduction of 6 million in the fixed cost base and the full year like-for-like margin was 65.1%. If we look at Slide 29, we showed key drivers of depreciation expense. Firstly, the change in scope from consolidating O3b in our media and adjusting the constant effects led to increase of $88.6 million. Going the year-over-year on a like-for-like basis recurring depreciation was 8.1% lower with reduction across both the GEO and MEO fleets and the latter due to the end of the depreciation period for the first three O3b satellites. And finally, as already stated the AMC-9 impairment charge also impacted. On the next slide, we see net profit. The 2016 net profit includes the one off the accounting gains of $467.5 million which were scripting out here, so we can have a like-for-like comparison. The reduction of $210 million for operating profit was more than offset by available lower financing cost, lower taxes and lower share associates. Net financing cost were $31 million in the work despite the increase in scope and this is due to the lower same store financing cost, higher capitalize interest and the financing synergies that we delivered as part of the refinancing of the O3b debt which occurred at the end of 2016. The largest contribution in terms of the movement of the net income was intact which move from the charge of $114.1 million last year to a benefit of $130.6 million this year, and I will give you more detail on this in the next slide. The group share associate shows a positive year-to-year movement of $62.4 million and this is purely because O3b is now fully consolidated. Now on Slide 30, we'll breakout the tax in more detail. The underlying tax charge of 95.3 million was 16.5% lower than the prior year. In quarter four 2017, the impact of the change is in the U.S. tax legislation resulted in a positive counting gain of $94.4 million and this is due to the reduction of the deferred tax liabilities recorded on the balance sheet, which were previously accounted for at 35% tax rate and now are accounted for at the new U.S. corporate income tax rate of 21%. This was in addition to the recognition of certain U.S. tax credit security 2017 totaling 65.7 million, part and develop line in the half year ending calls the recognition of the significant tax assets in relation to the rolling tax in Latin America as a result of the successful litigation outcome resulted in a credit of $51.1 million and finally there were order one-off tax items contributing to further $23.8 million of tax income. Now, if we exclude these one-offs the 2017 normalize effective tax rate was 20.4%. On Slide 32, we gave what the cash flow. The improvement in free cash flow before financing in acquisitions from $655 million to $761 million reflects two metrics. First, while the absolute net operating cash flow was marginally lower than 2016, due to cash conversion ratio increased from 88% to 95% as more of the EBITDA was converted into cash. Second, the cash absorbed by investing activities was $129 million lower and as the CapEx profile is reducing from its recent peak into account in 2016 and certain CapEx minus moved into the first half of 2017. Consequently, free cash flow as a percent of sales increased from 32% to 37% and CapEx as a percent of sales was down to 22%. On Slide 33, we cover the CapEx guidance which is based on our U.S. dollar business rate of 150. In case of modeling a different FX rate, a good rule of thumb to apply would be too soon that roughly half of the CapEx is denominated in U.S. dollars. The total CapEx envelope for 2017 to 2022 is essentially unchanged at 3.4 billion. There are two main changes from the version shown in quarter 3 2017 results. First the 2017 CapEx was 130 million lower. This reflects 30 million of savings achieved such as lower launch cost and insurance. And the second element is the shades of 100 million of CapEx related appearance. The cumulative effect of the new CapEx savings plus negotiated terms made for 2021 is now expected to be €1.13 billion compared with €980 million before. Despite in 2021 relates to the investment and also to be in part where the satellites are only paid for on delivery. This agreement allowed us to improve the MTV and the IRR of the project by matching the investment to the delivery of the assets and the commencement of revenues. As part of the procurement agreement SCS has the option to acquire the satellites outright which is our base assumption or to enter into a lease agreement. For a purpose of modeling the CapEx profile, the outright purchase is assumed as the base case assumption, should the lease option be elected to cash out would be 600 million lower in 2021 and approximately 60 million higher in 22, 23, 24 with the remaining gap settled in 2025. On Slide 24, we see the net debt and the net debt EBITDA as mentioned it was 327 at year end. This is based on the rating agency methodology which treats 50% of the hybrid debt. The reduction by 479.5 million and gross debt was the main driver for the 4.2% decrease in reported net debt to 3.95 billion. The reported average interest cost improved from 3.87% to 3.66% while the average maturity remains relatively long at seven years. Now, finally the guidance on the Slide 35, again this is based on our SES business plan U.S. dollar rate of 150. It assumes normal launch schedule and health. For 2018 video revenue is expected to be within the range of 1.3 billion to 1.32 billion. This represents at the time of approximately 5.5 to 4 percentage points of which the change from IFRS system and the washout of the satellite help and the MX-1 non renewals represent approximately 3 percentage point reduction. Our 2020 video revenue is targeted to be more than 1.35 billion, representing a 0.4% CAGR versus 2018. Net cost will go to be between 660 million and 690 million in 2018 and over 875 million in 2020 representing a 10% trust CAGR for us for 2018. The MTA margin will be slightly lower for 2018 and this margin will include a one off restructuring charge of 10 million to 12 million in quarter 1 and then out to 2018 it will return to at least be in line with the 2017 level. And with that, I’ll hand over back to Steve.
Steve Collar: Thanks, Padraig, and I’d like to add my commitment to delivering those numbers and also importantly to providing you with the right level of transparency on our business going forward, which I think you have seen and hope you have seen in the press release and obviously also in this call in the detailed that we have provided. And before moving onto question, I’ll be talking for a while. I just want to say a few words, a few thoughts from me as the incoming future CEO of SES. So firstly I’m enormously excited to introduce, Andrew Browne, for those of you are not familiar with Andrew. I'm super happy to be working with Andrew again. He's probably the most experienced CFO in our industry, having been the CFO of Intelsat at 39 years old and led the business into privatization and the spin-off to New Skies. He and I first worked together there, where Andrew oversaw 2 IPOs, the privatization announcement and the sales of SES And more recently as you know Andrew has been a CFO of SES and the CFO of O3b, but also brings an important experience in Silicon Valley. Andrew is Chairman of TomTom and I think he is joining us on his second day. So an exciting future ahead, and as we sort of look forward to taking the helm, there is no doubt it's been a challenging time in our industry, it’s probably undergone more change in destruction in the last few years that at point in our history. And the recent performance of the business has not met expectation, but I do feel strongly that the time he taken to transform our business into the two business units that are really deeply seated in our markets with SES Video and SES Networks and the products and the solutions and the bank proposition that he taken the time to develop in 2017 really positioned us well to deliver to our customers and to capture the growth that we see coming in 2018. It also true we’ve had some challenges with our fleet in 2017, but now we start to see the benefit of our investment program with SES-14, SES-15 and SES-16 all recently launched and safely in orbit. And with 4 more O3b satellites launching in a couple of weeks so I’m really excited by the prospects for the business and this was the strength of our fleet going forward. And to conclude my priority now and my focus is all around execution. We have the building blocks in place. We’ve got the same strategy and a strong organization and it’s now by serving our customers and delivering our numbers. And on the Networks side, as you’ve heard, I feel that we got some strong momentum coming out of the back into 2017 and strong sales volumes and new customers that are already liable our fleet and also encouraging is our pipeline continues to look strong with respect to new sales and new business. And the strength of SES has always been and will continue to be our DTH and Video business, anchoring as we do many of the largest and most successful locations in Europe and in the rest of the world. So with that, I really look forward to meeting all of you in the coming weeks and months and spending more time in interview on our business and so the talking about the market more broadly with our investments, majority of our investments behind us, a strong fleet and a profile of growth, particularly in Networks by see capital efficiency improving in the coming years. But all of that is underpinned by strong and sustained execution that’s exactly what I and the rest of the leadership team at SES intend to deliver. So with that, I would propose we hand back to you to take your questions.
Richard Whiteing: Thank you, Steve. Operator, as you heard, we can go ahead with questions.
Operator: [Operator Instructions] We will now take our first question from Paul Sidney from Credit Suisse. Please go ahead.
Paul Sidney: I just had three questions please. Firstly, I was just wondering how much your management i.e. Steve and Andrew were involved in the guidance process for 2018 and 2020 clearly the announcements of management change was just over a week ago. So just wondering, how much input they had into the guidance and following from that whether a different approach was used and to set that guidance? And then secondly, you’re guiding a growth in video revenues in full year 20 from full year 18. I was just wondering, could you maybe give us a bit of bride in terms of how that potential growth brakes down between channel growth, channel mix and the drag from compression MX1 et cetera? And then just lastly on MX1, I think you mentioned during the presentation that you had accentually reconstructed some of that and €7 million which is been a drag on revenues relating to those like legacy contracts. I’m just wondering if you could give us a bit more detail on how much of that 7 million has been re-contracted and whether it's been re-contracted for higher rate?
Padraig McCarthy: So Paul I start with the on the last two questions. So working on the MX1 which is an easy one, so since the last quarter is about a 0.5 million of that contracted. So in Q3 we spoke about year-to-year changes 7.5. In Q4, we spoke about year-to-year changes then. So that a 0.5 million from a quarter basis or 1 million on an annual basis. With regard to the video development, this corrected in 2018, we’re showing the minus 4% to minus 5.5%, as I said, you have to take 3 percentage points out of that as an accounting adjustment, no cash impact whatsoever it's purely how revenue is recognized and then the MX1 with the help. Of the amount that’s left, that should be seen in the context of SES-10 and SES-9 all ramping up. They have contracts on them to ramp up take a certain period of time and also we see 2018 as a period where MX1 is going to continue to stabilize but not necessarily grow. And as said earlier we continue to see some pricing pressure in the European markets to video. Looking then for 2019 and 2020, I think the key differentials are number one stabilization and as growth starting in MX1. Secondly, the continued ramp up in the emerging markets for the assets that has been signed as also some new assets coming in that have new capacity, and we expect to see some continue growth in video services. On the guidance I just make one comment and then maybe Steve would also add, so the guidance is the Company guidance is to prove by the board and is proved by the executive committee.
Steve Collar: Yes, I know I think that' exactly right, company guidance. It's Andrew's second day so clearly Andrew's ability to kind of look at it has been pretty limited, but we're committed to delivering these numbers and everything that I’ve seen today suggest that the business can deliver and we can deliver these numbers and very comfortable with where it is.
Operator: We will now take our next question from Patrick Wellington from Morgan Stanley. Please go ahead.
Patrick Wellington: Couple of things, firstly, can you tell us what you think of the savings from the fit-to-growth, fit-for-growth plan will be? You told us what the costs are. Secondly just on the network side, mobility I think was flat underlying which is maybe at this point and relative to last year's performance. Can you tell us about the dynamics in that market maybe some of the pricing versus volume characteristics? And then thirdly, just on SES Network you talked about doubling the annualized sales volume from Q2 17. I just want to make sure I understand what doubling annualized sales volume means in that context? Can you talk around that a little bit?
Padraig McCarthy: So, perhaps Patrick, I'll kick off on fit-for-growth and then Steve will take the two networks related contracts. So with regard to the fit-for-growth initiative, this is really aiming to prepare us for future growth and to be sure that we are lining our capabilities and our strategy, and therefore it's more about making sure that we have the right capabilities and the right resources in the right place, and in particular focusing on having the best possible and most effective front end resources for execution. So it's not necessarily targeting an absolute cost reduction, it's more about having the right safe resources in the right place, and also being able to redeploy internal resources. Now what you will see then as the margin progresses, obviously, there's cost addition this year, but what you will see as we go, on the one hand the networks will grow which has a certain managed services element on it, so they have as overall margin but also the overall CapEx. But on the other hand, we will see an improvement over time because we are using internal resources, redeploying internal resources and growing the capabilities itself, so you will see good operational gearing over time. So, fiscal growth is about redesigning, having the right resources in the right place and then fully enabling the operational gearing going forward.
Steve Collar: And note to pick up the question on mobility and maybe start with the overall market, I think we see very strong dynamics in the mobility market right now, but two segments I would say that I am most optimistic about are aeronautical and cruise, which is the two sort of market segments that are probably strongest in today. And in terms of 2017 obviously we did have tons of -- the main new capacity, the new main new assets that we bring into this market space are O3b and SES-15 followed by SES-14, and all of those sort of come online in 2018 including as I said earlier in Q2 for SES-15. So, we wouldn't have necessarily expected huge incremental growth, but I think the fact that we had some periodic sales of the back end of 2016 particularly in our MEO cruise business, sort of hides a little bit some underlying growth that we see. But I think that the key point here is, we do see growth in mobility across both maritime and aeronautical, less so in energy although that -- even that market is now coming back and we are starting to see traction with some of the operators in the energy space. And then on the question of sort of the sales volume, this is obviously a metric that we look at pretty closely internally and so we annualize the value of the sales of bookings that we close in any given quarter. And if you compare the amount of business we closed in Q4 within our networks business, 2017 it's doubled the amount of business that we closed in Q2, and I would say the Q2 number was relatively typical. So it's not that Q2 was low, it's really that we saw strong traction sort of coming out of Q3 and into Q4 from the sales volume standpoint. And obviously the important part about that is, as we talked about before it takes a little while to turn sales into revenue because typically what we then do once we have signed is we saw implementing networks and as we saw in business in Q1 -- sorry Q4, it's starts to reflect into revenue in Q1 and Q2 so that gives us a good confidence in our performance during 2018.
Patrick Wellington: Thanks Steve, and just a quick follow up. Karim, we will miss you. You've been a great growth proponent within SES. Steve, would you characterize yourself as similarly looking to be as a growth proponent of SES or slightly live life on the edge, I mean the dividend count could have been a bit more, the leverage is still pretty high, but you're taking this growth oriented attitude towards SES. Is that right?
Steve Collar: Look, I think, Karim has sort of created the conditions for us to grow which is enormously exciting. So you know we, as I said we've done some important work in structuring our business during 2017, we've made some sensible investments over the course of the last two or three years but we're now starting to see coming to the market. And so I think I inherit the business at a time where we do have the opportunity to grow. That said, it's all about execution, it's all about delivering numbers and I'd far rather be sitting here talking to you in a few quarters with those numbers behind me than right now. So that's, I wouldn't characterize myself in any way at this point, it’s all about the business and our ability to deliver on numbers.
Operator: We will now take our next question from Laurie Davison with Deutsche Bank.
Laurie Davison: So first question just on the balance sheet, you're up 3.3 times in terms of leverage, but you've described this previously as a comfortable level and you should de-lever over the next three years. So can you just talk about the motivations for such a large cut in the dividend? And what should consider the ceiling on leverage that you're willing to go to when we're thinking about what progressive means in terms of dividend? The second question is just on video, you've still got a 1% to 2.5% decline underlying here for 2018, now you previously said the video is stable and resilient as a core business. So why are you still seeing decline even after of that scale even after MX1, AMC and the IFRS issues? And why is that underlying going to improve in 2019 and 2020?
Padraig McCarthy: So, I'll start with the video and then Ferd may add. So as I said previously and you were correct in saying, if you back out the -- you know as highlighted to the time of the minus 1 to minus 2.5%. So the different components in there are on the positive side, we had SES-10, we had SES-9. We're beginning to contract those, but there's let's say a later ramp up of the capacity, so that's also of the contracts coming into service. So that's also an important factor for '19 and '20 is that we see the contracts coming in, but we see the OSDs happening later. On the other side, we continue to see let's say a certain amount of or have seen certain amounts of pricing pressure in Europe. The prices have been holding up quite well in the individual markets but nevertheless we believe that Europe now is stabilizing we saw it stable in the fourth quarter of this year but we expect going forward also into next year that there may be some decline in the European market and then also as I said MX1 we still see MX1 in a stable situation if you exclude the renewal impact that was discussed in a stable situation maybe even a slight decline.
Steve Collar: Then as we look into 2019 and 2020, the important thing is that we’re seeing a very good ramp up in HD, but also in Ultra HD. And as Ferd said, we went from 20 to 28 Ultra HD channels, and we see the Ultra HD globe improving. Also from the compression side, we have now close to around 64%, 65% of our overall channels in impact four. So, we’re definitely going more and more on the other end of the compressions ends up so that the HD growth and Ultra HD will more than out way that. And then also we believe that the MX1 business will return to growth. So these I’d say are the drivers on video. Looking at the balance sheet, so our approach to the balance sheet is an indeed 3.3 is the threshold and our approach to the balance sheet is to continue and to manage the balance sheet and the leverage well below the 3.3 times.
Laurie Davison: Would you just care to -- I mean because you've given this very loose guidance of progressive dividend. So, when you’re saying below 3.3 times, can you just give us about a bit more quantification on that to help model that?
Padraig McCarthy: Yes. No, I think at this stage -- Laurie, I think what’s important at this stage and you see that clearly also the opening comments of our Chairman and the comments from Karim is that we are looking to strengthen the balance sheet. We wanted to strengthen the balance sheet also because we think that's the right thing to do in terms of enabling our growth and particularly our committed growth. And so at this point of time, the overall threshold continues to be 3.3, but we have a very fair target as a company to manage the business what is stronger balance sheet going forward and to manage the leverage well below to 3.3. We are committed to prevent the dividend going forward, but in terms of the level of concessive dividend we will monitor the developments and we will give more insight to that as time goes on and also indeed that net deposit art, is that the board that we are executing and the stronger that we are executing than the debenture the dividend can be.
Operator: And we now take our next question from Michael Bishop from Goldman Sachs.
Michael Bishop: Just two questions for me please. Just picking up on some of the video data points and helpful split you’ve given us between services and broadcast. I was wondering if we effectively lap the MX1 headwind, so we think about 19, 20. What’s implied within video guidance for the specific growth in distribution revenues versus service revenues? Because it seems to remember in 2016 you had entered the MX1 good grow mid single-digit on an underlying basis and I know that still the case. And then secondly just pulling together the margin targets and sort of the CapEx and decisions as well, are you stepping away from the 10% mid-term growth target today?
Padraig McCarthy: So just on the last one, can you confirm what you mean by the 10% midterm growth target? Can you -- which third party you’re referring to?
Michael Bishop: I was referring to the ROIC target, so the return on invested capital?
Padraig McCarthy: No, absolutely we continue in the medium-term. And what we’ve always said about the ROIC, it has the point of time that we would have ramped up the new capacity coming on board including the additional satellite of O3b. And we’ve always seen that the end of 2021 and to 2022. And we are continuing to target a double-digit ROIC productively. What we will see and what you will see in these results that we ever reported right up 7.7%, but when you back out the exceptional tax item, we have a normalized ROIC of 5.1%. It will continue to be flat maybe slightly increase 18. And then as you see the mode coming through that we discussed today in ’19 and ’20 and beyond this will improve ROIC. You should also remember that we have very good development in normalized CapEx. We have reduced the normalized CapEx. We have set traits and targets by 2022. We announced the O3b mPOWER removal of 2 geo satellites and therefore we have a substantial part of that already committed. And we continue to talk about the balance sheet in terms of financing cost and so all this supports the 10% ROIC as a medium term target. With regard to -- if you can just remind me of your other two questions.
Michael Bishop: It was just one other question it was the fact that we're trying to get towards what you're implying for video broadcast versus video services growth for 2019, 2020 within guidance? Because I seem to remember when you first bought media that we talked about combination with MX-1, you were talking about mid single digit growth and currently we have got headwinds in ’18 but as they lap what’s the growth outlook in ’19, ’20?
Karim Michel Sabbagh: Yes, as we mentioned -- so on MX-1, we didn’t renew some of the low margin legacy contract. We assume for MX-1 stabilization in 2018 and slight growth afterwards otherwise amongst the overall the factor that driving the growth in the direction of 2020 is of course the international business with the new assets in Asia and Latin America and of course additional ultra HD channels which we see now beginning.
Michael Bishop: Just to confirm and this sounds like there is no difference in growth assumptions between broadcast and services within the guidance?
Padraig McCarthy: Yes, so while I’d say is -- so first of all between 2018 and 2020 as I said earlier, there is an overall CAGR of 0.4%. So the weighted -- and if you look at the video business, it's very resilient business which is stable to slight increase. And there I’d say that the distribution business is certainly is stable business very cash generated and stable and then we would expect to see its current slight growth in services there as well.
Operator: We will now take our next question from Wilton Fry of Royal Bank of Canada.
Wilton Fry: A couple of questions, you've made two meaningful acquisitions in 2016 of RR media and O3b. You don’t appear to be recorded any balance sheet impairments. Have you conducted any impairment tests yet? And if so, has RR media not being paid why is not being paid impact given the impact on MX-1? Secondly regarding executives compensation, you don’t have any disclosure at the moment as you follow minimum Luxembourg disclosure rules. Have you any plan to disclose what KPIs, the management team can be remunerated on?
Padraig McCarthy: So I’ll take the first question and with regard big -- so the short answer is, no, there are no impairments on either of these and either of these investments and indeed they are subject to impairment reduced and indeed that’s an important element as you can imagine in the others. With our media, it’s important to find out that the cash generating units are immediately volume. So when you come to look at the impairment, you’re looking at the cash generation of MX1, which includes the SES Platform Services and RR Media. So it’s a two together and there is a very healthy surface and also with regards to O3b, the point to note is that O3b had a good year. O3b is delivering along the expectations and here this is an individual cash generating unit, where also there was no impairment and quite a healthy service.
Romain Bausch: And maybe -- it's Romain, as Chairman, I want to comment on the cash regarding remuneration. So as you know we'll be disclosing our annual report some details and the relevant thing maybe to be set clear is that our overall compensation to the leadership team is really composed of three elements, the base salary, cash bonus and the long-time incentive plan with stock options, restricted chance and the performance shares. And clearly, most of the long-term incentive plan and clearly the cash flows are based on performance, on personal performance, on financial performance, and maybe so to illustrate this with 2017 results as bonus, the cash flow is resulting from the financial results of the Company of all the executives is zero. So simply to tell you that we have a very disciplined compensation policy which is really based on the success of the Company, and we should really prove that there is the smaller alignment between the interest of shareholders and the interest of the leadership team.
Wilton Fry: We'll be disclosing individual KPIs jump to EBITDA or cash flow as part of that procedure?
Karim Michel Sabbagh: No, we don’t. We publish cost of goods. So you know the numbers of members of the executive committee. And as you can take, take it for granted that there is not a huge difference between the different numbers of the executive committee except as the CEO. I think it’s quite easy for you to really calculate what's the average remuneration of the member of SES is, as we're benchmarking this every second year, and so we have clear indications that remuneration that SES is applying is fully aligned with some best market practice.
Operator: We will now take our next question from Nick Dempsey from Barclays.
Nick Dempsey: I have got three questions left. First of all your expenses you’re seeing price pressure in video in Europe. When we’ve heard satellite management teams accepting, they're seeing price pressure, what we tend to have seen in the next little while as about price pressures got worse other than everyone I think negotiates with you is one and even bigger price cut. Is it possible to be able to predict what will happen to pricing in the next couple of years out for 2020 to the degree that you clearly are in your guidance? Or is there real risk that, that gets worse with every large renew? Second question just specifically on 2018 guidance periodic, can you give us a rough sense I know and expect that you give a number of rough sense, what you’re expecting in Video and Networks for periodic they will continue your guidance? And then third question, again the 2018 guidance, SES-12, SES-14 the new O3b satellite, when do you expect them to start delivering revenues this year and can you give us a few comments on the kind of initial fill expectations to those?
Karim Michel Sabbagh: So first of all regarding the pricing in Europe, in many European markets we’re present, we have the privilege of serving premium clients in premium neighborhoods giving the very strong technical reach and therefore these customers have been paying premium prices, if I may say so. So it means that when we mention a slight decline in Europe that this is slight decline from a very high level, as the prices we’re asking in Europe for sure amongst the highest prices in the industry. So the prices are directly linked to the technical reach, to the addition of the technical reach, that this is very important currency we’re using when we’re negotiating contracts. As I mentioned before also the renewals of the contracts are long-term renewals and therefore we assume a real stability of the prices during the years to come.
Steve Collar: Why don't I take one on sort of contributions from the new assets, so firstly, as I said, SES-15 more or less from beginning of the year which is great, SES-16, which is our GovSat satellite our joint venture with Luxembourg government that’s around nine months of revenue contribution. SES-12 and SES-14 will be about a quarter so the fourth and the, satellites by the time we commission and then bringing them into the constellation its little more than six month worth of revenue contribution.
Padraig McCarthy: Nick, on the periodic question, so by definition periodic is basically to forecast because that’s why we’re showing it separately. I would say two data points, I would say the first one we provide into press release by quarter for the last three years, what the periodic has been, so you have a data point there of 12 quarters and if you look at that you work out the average, it's about 13 million to 14 million per quarter. And that doesn’t due to sometime bounder sales and that might be in the high side, but if you just pack into past and take down as indication then I think about 10 million a quarter is going forward. And as was also said like I said, we should remember that there is the order revenue line which is separate and that about just typically the around between 5 million to 10 million.
Nick Dempsey: Sorry Pad that in forecast the loss would about 5 to 10, so could you say that again?
Padraig McCarthy: Yes, so there is two data points, the overall periodic revenue which is booked in vertical, where you can look back at the average over that 12 quarters and there I would take a number around 10 million a quarter. And then there is a northern line which is not part of the video, which is not part of net books, which is called order revenue. And the asset room, to add that on as well and that will be about €5 million to €10 million.
Nick Dempsey: Understood and just one more follow-up, just on SES-12, 14 and then your O3b satellites, maybe some comments about the fill you expect on those ones versus for example SES-15 at the start?
Padraig McCarthy: So I will sort of give you some direction of you. So may be signed with O3b, so we're full in some of our regions for the O3b constellation. So in particular in the sort of Caribbean, Brazil, North American region in Middle East and Africa, and in Pacific, this capacity will sort of immediately start to contribute. So there will be already on the new constellation that effectively will go into service as soon as sort of the decision of the constellation has been initiated with the new satellites. And in terms of SES-14, so it's obviously oriented also around aero and some degree the maritime market, and we have some significant commitments already on SES-14, I would say not to the level of SES-15 but certainly we have some commitments on SES-14, that said, as I mentioned there's only a quarter of revenue in 2018 for SES-14. And for SES-12, SES-12 is kind of the mix of replacements and new business. And so by definition when it comes into service it also has a certain amount of fill because it's taking over also businesses already at that orbital location, as far as the new sort of throughput capacity on SES-12, we are looking to drive let's say higher build factors before that satellite gets on station, and we have an opportunity to grow with SES-12
Operator: We will now take our next question from Eric Beaudet with Natixis. Please go ahead.
Eric Beaudet: A couple of questions. First one is on video. You mentioned a slight pricing pressure on video in Europe, but you're expecting stability going forward in '19, '20. Is that stability expected simply because you don't have any more renewals coming up? Or simply because your conversations will change with the renewals you have? My second question is simply data point. Could you give us what revenues did O3b generate in 2017? And my third question is regarding your C-band in the U.S. You might try to monetize it and -- with the Intelsat, I was wondering if you could give us an idea of how much C-band you have over the U.S. and how much is absolutely necessary for you to keep going forward for your cable headings?
Karim Michel Sabbagh: I think in Europe it's in fact the combination of the two and we have no major renewals coming up now during the next 12 to 18 months. And on the other hand it is the important criteria is the technical reach, for instance, we -- a couple of months ago we renewed long term contracts with the German Public Service and we renewed some at existing prices.
Padraig McCarthy: So, I'll take over the C-band topics since I've been involved very closely with the working team and as for the public records, I've had the opportunity to meet with the SES Chairman few days ago. So, factually, the combination of SES and Intelsat in the U.S. market provides clarity around what part of the C-band could be made available to the mobile operator to the extent of 90%, so that's the combination of these two organizations together in terms of the impact having sort of influencing the decision. Now, when it comes to the impact of part of the C-band that could be made available to the mobile operator that we are proposing, our approach has been the number priority is to maintain the service for our broadcasters in the U.S. and so that proposal was made on this premise and it was a message that both myself and my counterpart from Intelsat had the opportunity to underscore to the chairman as well as to the commissioners with whom we have met. So I think for the benefit of this goal the premise of all our conversations and proposal is that we will maintain the continuity of that service, and therefore whatever we'll be able to feed will actually serve the interest of the MNOs as well as will allow us to continue serving our business going forward.
Ferdinand Kayser: Yes, and Eric on the O3b question. So the O3b performance is on track and it's underpinning the execution of capacity and I'll give you some numbers around that. In terms of giving an individual O3b number, it’s not really meaningful anymore because we're now managing business overall and the beauty of the networks MBU is that it’s combining MEO and the GEO capacity together, and actually many of the transactions that Steve and the Networks team have signed, they're very unique because they're taking GEO capacity and MEO capacity and a lot of those have been announced. And I think that the reinforcement of the O3b performance and the network strategy is to really look at what's been happening in 2017 in our networks verticals versus what happened in 2016, when we had only just acquired O3b and just a couple of data points there. So for 2017 fixed data if you exclude the AMC-9 impact was essentially stable, if you looked at the same set of metrics for 2016 fixed data was down 20%. So that's an enormous change in the profile. Also government if you look at 2016 it was down minus 10% and now what we're seeing in government and the results we announced today is a slight growth in government. So essentially the O3b performance is on track and is underpinning the execution of the strategy and we see that in those numbers.
Eric Beaudet: if I just may, if I understood well your answer on the C-band it means that if you ever reach an agreement with the SES and Intelsat, there is no revenue that's going to disappear on our video C-band distribution in the U.S. You'll going to keep a 100% of what you're currently generating. Is that correct?
Padraig McCarthy: So our commitment is to continue to serve our clients, that's absolutely our number one priority and once we anchor this priority we move to the next question what part of the C-band we can made available to the mobile operator. So that's the framework that has been shaping our thought process and shaping our proposal to the FCC and this framework has been equally shared by Intelsat.
Romain Bausch: Operator, next question.
Operator: We will now take our next question from Richard [indiscernible]. Please go ahead.
Unidentified Analyst: If I can just sort of take you back to the comments around the balance sheet, obviously, you've referenced this wish to kind of strengthen the balance sheet albeit sort of only really within the context of that 3.3 times cap on leverage. What’s your -- there's a big pickup in this committed CapEx in 2021, what kind of leverage would you say you need to get to ahead of that and kind of 2020 before the big CapEx hits take? I am just trying to get my hands around to what extent you see the 3.3 times is a very hard target or you know on a timing basis you could find yourself straying over it.
Padraig McCarthy: Yes, so as I said earlier and that's also fully applies to the target leverage at the end of 2021 is that, our target is to be well below 3.3.
Operator: We will now take our next question from Christian Crosby from JP Morgan. Please go ahead.
Christian Crosby: So most of my questions have already been asked, but just one here then, in light of plane balance sheet strengthening you’ve discussed. Can you give us any early thoughts as to how you might look to address your upcoming debt maturities this October and next March? And then kind of a follow-up there, do you see any potential for additional higher cash capital issuance as you’re addressing those?
Padraig McCarthy: So, indeed we have a very balance portfolio of debt which mature is in a very balance manner with €0.5 million maturing this year and euro bond we’ve €0.5 billion bond with $0.5 billion maturing next year. And we would look very much at refinancing those as senior debt and normally looking also taking the opportunity to extend the tenure of an overall net, but at the same time having the target of not necessary increasing the customer base. But we don’t foresee any further issuance of perpetual bonds or hyper bonds.
Christian Crosby: So, just in terms of net and the strengthening you’ve discussed that things more organically driven than as apposed from a play out perspective?
Padraig McCarthy: Correct.
Operator: [Operator Instructions] We will now take our next question from id David Cerdan from Kepler. Please go ahead.
David Cerdan: Just on the tax rate which tax rate do you expect for the next year? This is my first question. And second question is regarding O3b. And you are now more and more -- you are more transparent with the market which is a positive, but you decline to give any number of O3b. Why this is your major investment for the next year? So, I think that it would be very god for all of us to have an update on O3b. What do you expect O3b to generate by 2020? And second, can you remind us of the relational all of investing in mPOWER? And how did you see the competition from new project or existing project? And at which extend as you change your expectations on O3b and all O3b mPOWER?
Padraig McCarthy: So, I will take the first question and Steve will take questions on O3b. Our effective tax rate going forward is similar to some of the recent guidance we’ve given which is, which will be arrange typically in a range of 15% to 20%. One point that is relevant is I guess with today on the deferred tax liability release link the U.S. tax reform, but you should know is that with the pluses and the minuses of the U.S. tax reform this will give us on the longer-term a benefit of about 1% and the effective tax rate so that’s kind of taken into account here that the range think of going forward is between 15% and 20%.
David Cerdan: Okay.
Steve Collar: Yes. Look, I’ll try and give you a flavor for O3b and how we’re doing. And look a lot of the customers that I spoke about in the network section and on the growth that you see coming through the networks business is of the result a fact that we access to this unique infrastructure, and it really is genuinely unique. We -- SES made an investment in O3b back in 2009 and as a result we lead the way in terms of NGSO capability, and that translate directly into a performance on the ground for our customers which matches terrestrial, and that is really unique. And what we now able to do is we sort of matured into SES Networks is combined that with the Geostationary fleet with the biggest reach in the most capability and configure grand solutions and end to end solutions that leverage bug which is why you cannot end up with this mix, if you like of services that we are delivering to customers that include both our Geostationary capability and MEO fleet that translates into resilient and higher performance and software defined networking and a whole bunch of other capabilities that we are now able to deliver. And in terms of O3b mPOWER, I don’t think we could have been clear about it or more definitive about it in terms of the commitment that we made to that program. A lot of the information that we shared with you guys back in, in September last year remained our ambition for O3b mPOWER. We couldn’t be more persuaded that the medium that all, but is the right place to deliver broadband services over the satellite. It is the right balance between the amount of CapEx and investment that you need to deploy to get a constellation of an operational and the performance that you can deliver. And that’s even more the case when you think about it through the lands of having a hybrid fleet and having access to these capabilities. So, I couldn’t -- no absolutely nothing’s changed in our commitment to O3b to MEO and to the hybrid nature of our business. I think the investment that we have made in O3b mPOWER is the reflection on that. And look on the competition I guess you are referring that to sort of MEO constellations come at a long, all remain and we have been pretty consistent on this. I remained pretty skeptical by the business cases associated with any of those. It'll still be proved whether having 100s or 1000s of satellite is picture or a bug. I’m very clear what I think it is. And again that’s why we have committed ourselves to delivering those same advanced broadband services from Medium Earth Orbit rather than looking at networks that requires 100s and 100s satellites to be launched. So competition is a great right thing. Innovation is a great thing. But ultimately the business plans for those networks, I think still have to be proven.
David Cerdan: Just maybe another way to, to maybe for you to answer the question, and your expansion of your revenues between 2017 and '20, how much of this expansion is supported by the success O3b in your business plan? Is it a less component, is it…
Padraig McCarthy: It’s a significant component but it's not the only thing we are focused on, right. We have launched a lot of Geostationary capacity as well that's underscoring our -- the expansion of our aeronautical business. So it’s a very, very important component. It is the one of the most differentiated parts of networks compared to any of the other operated item. But we don’t going to kind of get into the specifics of O3b numbers versus numbers for any one of the individual satellites or other components within our network. We think about our business in terms of the markets that we serve and the verticals that we’re in rather than the specific assets that we have.
Operator: We will now take our last question from Aleksander Peterc from Societe Generale.
Aleksander Peterc: I have left with this really maintenance stuff. So first of all, can you help me understand why you took your dollar rate at 150 for your guidance and we haven’t seen this rate since I think July 2017. So I would expect something closer to current rates, so what would your EBITDA margin guidance in particular look at the current rates into 2018, 2020? Then the second one is on IFRS 15. So we have this drag 15 million to 20 million in 2018. Is this a permanent track going forward, and if say HD Plus growth faster than the average video then drag increase as well?
Padraig McCarthy: Thank you, Alexander. It’s Padraig here. So the reason why we taken the 150 is that the 150 is the FX rate that we used in internal business plan which is very long-term business plan, not just focused on 2018. And we thought that that was appropriate to put the guidance at that level. But you know just to help you and of course Jonathan and Richard and the whole IR team are available to support you in that. But for example, the exchange rate for F120 then the video number, the range for 18 for video would be 1,280 to 1,300, So 1.28 video to 1.3 video. And in 2020 if the rates were 120, the video number would be 1.33 just to give you precision there. And if you want same numbers and again IR team can follow up on this. If you want the same numbers with respect to Networks, if the rate using the rate of 120, the network range would be between 640 to 670. And again if you were to take the 2020 number for networks, you would be 845. So look at the end of the day we report our numbers are constant FX and we have a very FX rate in the balance sheet. I’ve just given you the revenue numbers here which you have to remember they also have the cost basis and your question on margin as such that the margin isn’t clearly impacted because we have a very balanced ratio and by the time you come down to net income, a change of $0.01 into $1 will impact net income by €1.5 million to €2 million. And finally if you want to look at cash flow, as I said earlier about half of our CapEx is in dollars, but the cash flow is more or less to watch. So that’s on that’s one. On IFRS 16 and the answer is, no, it’s not an impact into '19 and '20 it’s purely an impact between '17 and 18, and it’s purely in terms of timing of recognition of revenue -- sorry, it’s mainly an impact between '18 and 19. And it relates timing of recognition of revenues, so revenue that would normally have been reported in 2018 under the old methods will now end up being recorded in 2019 and beyond.
Aleksander Peterc: Can I just have a very quick follow up, if your priorities really to bring gearing down from 3.3 they are very sure there. Why would you not choose to go for the release option for your mPOWER CapEx that would make a lot more sense in my view, if you bring your ratios down?
Padraig McCarthy: It's an option we have to be, but base case assumption is, is that we would excise the procurement option. And from a leverage point of view, it is neutral because when you exercise in lease up procurement, the entire lease obligation will in case between the FX. But we believe and that’s our target and our objective today is exercise the outline procurement, but again it's good to have flexibility.
Operator: That concludes today’s question-and-answer-session. I would like to turn the call back yourselves for any additional or closing remarks.
Padraig McCarthy: Thank you everyone for joining us today, as the operator said that concludes today's presentation. Jonathan, myself, and the rest of the IR team are at your disposal for any follow-up questions should you have them. Thank you and have a good day.
Operator: This concludes today's call. Thank you for your participation ladies and gentlemen. You may now disconnect.